Operator: Good day, and welcome to the Contango Oil & Gas Company Fourth Quarter 2014 Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Joe Grady. Please go ahead, sir.
E. Joseph Grady: Thank you. I’d like to welcome everyone to Contango’s quarterly earnings call for the quarter ending December 31, 2014. I want to remind everyone that the results for the fourth quarter periods for both years now reflect post merger results, while the annual results for 2013 include Crimson Exploration results only for the fourth quarter as merger was effective October 1, 2013. As we move into 2015 both quarterly and annual results reported for all periods, we’ll finally reflect post-merger combined results. On the call today are myself, Chief Financial Officer; Allan Keel, President and CEO; Steve Mengle, Senior VP of Engineering; Tommy Atkins, Senior VP of Exploration; and Carl Isaac, our Senior VP of Operations. We’ll start off. Allan will give some few opening remarks followed by a brief review of financial results by myself. And then I’ll turn it back over to Allan who will give you a brief overview of current operations. We’ll then follow that up with a Q&A. As typical for most companies and our past practice, we will limit questions to those from analysts that follow our stock closely, as we believe that that is most constructive and productive use of everyone’s time. Before we begin, I want to remind everyone that the earnings press release and the related discussion this morning may contain forward-looking statements as defined by the Securities and Exchange Commission, which may include comments and assumptions concerning Contango’s strategic plans, expectations and objectives for future operations. Such statements are based on assumptions we believe to be appropriate under circumstances, however, those statements are just estimates, are not guarantees of future performance or results and therefore should be considered in that context. With that, I’ll turn it over to Allan for a few opening comments.
Allan D. Keel: Thanks, Joe, and thanks everyone for joining us today. I just want to, before we get into the details, give everyone just a quick overview of our 2015 approach providing some general commentary prior to today’s remarks. Looking at our approach this year is first of all, to maintain capital discipline even though we have a deep bench about development and exploratory drilling opportunities. We came out with a budget of roughly $50 million. That’s well within cash flow but we left room to do some things, should some of the drilling that we have prove up some areas or should process recover to some degree. The second thing that is important to note, we were proceeding with testing three very impactful exploratory plays, so they were in process rebound. Contango will be positioned to move as quickly as possible to full-scale development on any of those three large projects that would work, two in Wyoming, one here in Texas. The third primary objective for the year is to maintain and actually improve upon our liquidity via lowered CapEx program versus internally generated cash flow. So we’re going to generate more cash flow that we’re going to invest during the year and therefore will improve our balance sheet. Finally, number four, we have a very focused effort of identifying opportunities to create greater and more profitable development inventory either within our existing areas or in those that have similar characteristics. So we’ll be dedicating a lot of our time into identifying these opportunities, evaluating these opportunities and hopefully adding those into our base. So that was just some general comments. I will turn it back over to Joe now for a review of the financials.
E. Joseph Grady: Thank you, Allan. A brief overview starting with net income. We reported a net loss of 19.9 million for the fourth quarter or $1.05 per basic and diluted share compared to net income of 6.4 million or $0.34 per share for the prior year quarter. Included in the current quarter were non-cash pretax impairment charges of 24.4 million that we’ll discuss a little later. Other major factors contributing to decline in net income or pretax, about $11 million negative price related variance on production, a higher DD&A rate, all of which were partially offset by lower G&A expenses. On EBITDAX, adjusted EBITDAX as defined in our release, and which excludes exploration expense, was approximately 34.8 million for the current quarter compared to 44.4 million for the prior year quarter. Adjusted EBITDAX per share for the current quarter was $1.83 per share compared to $2.34 per share in the prior year quarter. Adjusted EBITDAX was lower primarily because of slightly lower production and a 25% decrease in oil prices both of which were offset in part by lower G&A costs in the current quarter. Production for the current quarter was 9.8 Bcfe or 106 million equivalent per day compared to 110 million equivalent per day in the prior year quarter. As previously discussed in our operations update, we added very little new production from drilling in the last quarter of 2014 due to a commodity price driven slowdown in drilling and a shift to multi-well pad drilling in the late third quarter of 2014 in our Chalktown area. Historically, in the Madison and Grimes area, we have drilled, completed and commenced production in sequence for each new well, while pad drilling anticipates the drilling of three wells in sequence, completing those wells in sequence and then commencing production for all simultaneously. Production from one of those three well pads commenced on our restricted rate and it was restricted due to limited gas takeaway capacity in late January, and a second pad is expected to commenced production late in this quarter. Guidance provided in our release of 95 million to 105 million equivalent per day for the first quarter reflects those delays and restricted rate prior to the second pad coming on. We are currently adding additional gas takeaway capacity for the Chalktown area that is expected to be completed by the time the second pad is ready to commence production. We do not give formal production guidance beyond the immediate quarter, due to the uncertainty on timing of results on our reduced capital drilling program that focus primarily on new plays and/or formations. Moving to the cost side. Total lease operating costs including direct LOE and expense workovers were 8.6 million for the fourth quarter compared to 8.5 million in the prior year quarter, as incremental cost associated with new compression added at Eugene Island midyear in 2014 were offset by lower offshore transportation and insurance costs. On a per unit metrics, total LOE in the current quarter was $0.88 per Mcfe compared to $0.84 per Mcfe in the prior year quarter. Guidance for the first quarter is 8.3 million to 8.5 million, which is in line with the current quarter. Impairment expense in the current quarter was 24.4 million, as I mentioned previously, which included impairment of 13 million related to unproved lease costs, primarily related to portions of our TMS acreage and full impairment of our GOM prospects. Current quarter impairment also included 11.4 million for impairment of non-core producing properties in the TMS and South Timbalier 17. Total impairment expense of 47.6 million for the year included the above amounts as well as 15.5 million for leasehold and platform abandonment on our Ship Shoal 255 exploratory dry hole in the first quarter of the year, and a previous impairment of other undeveloped TMS and Gulf of Mexico acreage earlier in the year. We do not anticipate any meaningful future impairment expense exposure on undeveloped TMS or GOM leasehold positions. Depreciation expense was approximately 41 million for the current quarter or $4.22 per Mcfe compared to 33 million or $3.29 per Mcfe for the prior year quarter. The higher dollar amount and per unit rate for the current year quarter relates to an increase in the overall rate due to drilling mostly oil-weighted prospects, which typically brings a higher per unit cost and higher expense and rate resulting from the offshore reserve revisions discussed in our offshore lease. Cash G&A expense was 6.4 million for the current year quarter compared to 11.7 million for the prior year quarter, as the prior year quarter included 3.2 million in merger-related costs and a higher bonus expense accrual than the current year quarter. Our guidance of 7.3 million to 7.5 million for the first quarter reflects an increase over the fourth quarter, due primarily to normally higher first quarter employee benefit costs. As of December 31, 2014, we had approximately 63 million outstanding on our credit facility and that’s on $275 million borrowing base. Our facility is a $500 million facility with a $275 million borrowing base that was reaffirmed through May 1, 2015. At year-end 2014, we had a debt to total book cap ratio of 0.1 to 1. We had debt of $0.23 per Mcfe of proved reserves. We had debt of $0.30 per Mcfe of proved developed reserves. Debt to last 12 months EBITDAX leverage ratio of 0.3 to 1 and 210 million of availability under our revolver. So you can see that we have a strong financial position that we will maintain and even, as Allan mentioned, improve throughout 2015. That concludes the financial review, and I will now turn it back over to Allan for an operations update.
Allan D. Keel: Thanks, Joe. I’ll follow up on some of my earlier comments. I just want to reiterate our overall belief and related strategy about expending capital in this low commodity price environment. In a lot of resource plays, well produces 60% to 70% of its PV-10 value in the first 12 to 18 months of a well’s life. And so in this period of low commodity prices and the lag associated with declining service costs, we believe it is prudent from a value-added perspective to delay development drilling on any play until process improves and/or cost decline further. So far in 2015, we will limit our capital allocation to necessary and strategic projects, retained excess cash flow generated, improve our already excellent capital structure, so as to position ourselves to participate in what we believe to be a window of opportunity in the A&D or M&A market as the year moves forward. If process improves and/or cost continue to decline, we also possess the ability and the inventory to increase our drilling program in a meaningful way. Starting now in terms of operational areas; Madison and Grimes, again due to the dramatic decline in oil prices during the quarter, we reduced our efforts in this area to testing the 500-foot downspaced strategy. In Chalktown, used a multi-well pad drilling approach. We started drilling the first three well pad late in the third quarter and finalized that drilling at the end of the fourth quarter. We completed those first three wells in the first quarter with good production results so far. We have yet to see the full rate capability of that first pad as we’ve been producing on restricted rate due to insufficient gas takeaway capacity. We expect to have the second pad completed and the takeaway capacity increase by the end of March. Once we have that completed and have 30 days of production on the second pad, we will release results on this project, which will likely be about the time of our first quarter operations release. During the first half of 2015 in Madison and Grimes, we will also be drilling a commitment well in Chalktown, which is the Lower Lewisville test and will be testing a longer lateral, higher number of frac stages and an increased sand per stage strategy in Grimes County, all of which meet our both required or strategic criteria for 2015 capital allocation. Given success in the Lower Lewisville test that will provide an estimated 50 derisk locations in that area in a zone that we have previously not tested. We are 16,000 net acres in the Madison and Grimes area that we have been delineating for the Woodbine and see in Upper Lewisville, and we still believe that the acreage maybe prospective for the Lower Lewisville, Eagle Ford, Georgetown, Buda and others. One well that we just recently drilled, a Norwood well, had a 7,700-foot lateral. We put in a 30-stage frac on that well and we should be getting results back in the very near future. Down in South Texas; Buda, Eagle Ford, as noted in our operations release, we believe that we have defined the optimum spacing and productive sweet spot for the Buda in our Zavala/Dimmit County areas and therefore do not plan to drill anymore Buda wells in the area for the foreseeable future. Instead, during 2015, we will utilize knowledge gathered from competitor activity in the area to retest the Eagle Ford using a different completion strategy than employed in our limited test at the Eagle Ford several years ago in the area. That Eagle Ford test will likely be done in late second quarter or third quarter of the year, and given success will provide us an estimated 150 locations to pursue on our 8,000 plus net acre positions. Moving to Elm Hill project, which is in Fayette and Gonzales counties, Texas. We entered into a ground floor of 50-50 exploration agreement with a private company under which we have acquired approximately 55,000 gross acres, 25,000 net in South Central Texas primarily in Fayette and Gonzalez counties where we have targeted a number of formations. We initiated drilling during the quarter, have drilled and commenced production on three wells, are completing a fourth and drilling a fifth, testing multiple formations. As we drill these different formations and try different methods of drilling, completion and location determination, we are trying to determine the meaningful results that will have future benefits versus size and experimentation, which can result in mixed results in the present and current operations. We need to get a couple of wells completed and on line for a 60 to 90-day period. Those wells will begin completion operations in the next week or two. We would anticipate after discussions with our partner that we would have some initial results to share at our next quarterly update. The expenditure of capital on this project is considered one of the strategic projects that could be an exciting catalyst for our company and of the 200 gross locations of upside on 150 acre spacing. So we’re very excited about the Elm Hill project and we’ll continue to be active out there throughout this year. Moving on to Wyoming where we have two very exciting plays and just as exciting as Elm Hill, we’ve got two positions there. We initially acquired the right to earn up to approximately 120,000 gross acres, 9,000 plus net in Natrona County, Wyoming where we have targeted the Mowry Shale and other formations through horizontal drilling. We refer to that as our FRAMS project. In the fourth quarter, we also acquired the right to earn approximately 49,000 gross acres or 44,000 net in Western County, Wyoming, which lies between two sizable vertical muddy fields where we are currently drilling the horizontal tests, the Muddy Sandstone formation also known internally here as our North Cheyenne project. Late in the fourth quarter, we lowered our risk on these two projects by selling 20% working interest to a private company. As noted in our release, we drilled the Mowry well in the fourth quarter or currently drilled in the Muddy well, and when winter conditions subside in late March or early April, we will sequentially complete those two wells. We will evaluate results for a number of months and then determine our future strategy. As we have disclosed previously, given success in these two plays, we can have between 500 to 1,200 gross locations to our portfolio depending on spacing. So you can see while we will not be spending as much capital as years past, we will have a very focused capital program this year that could be instrumental in derisking a meaningful amount of upside potential in our portfolio. We will also maintain and even improve our strong financial position that will continue to identify an attempt to capitalize on opportunities for growth that might arise through acquisition in this low commodity price environment. That concludes our comments this morning. With that, I’ll turn it back to the operator for any questions.
Operator: Thank you. [Operator Instructions]. We’ll take our first question from Neal Dingmann with SunTrust.
Neal Dingmann: Good morning, guys. Allan, just the last comment you had there about selling down anymore, I mean, either at North Cheyenne or looking to FRAMS area or I guess any of these plays like this. Are you now pretty well set to hit some of those exploratory areas yourself or depending on, I guess, success what you do or don’t see? I mean any thoughts about selling down any more pieces, particular in Wyoming.
Allan D. Keel: Neal, no, we are set where we are. We had an opportunity to bring in a company we had done business with quite often before. We felt like we wanted to layoff a little bit risk since process continued to decline and just felt like the right time to do it. So we’re done with that and hoping that we wish we had that 20% back at the end of the day.
Neal Dingmann: Okay. And then two others, just on the Elm Hill area, how will you tackle that one? You kind of worked your way up just north of the Henderson 1H or are you going to go further north well, call it to the northeast, I mean how are you going to tackle that play?
Allan D. Keel: We’re working with our partner right now trying to determine the optimum location for additional testing here. As you know, there are multiple formations that are prospective out here. We tested several of those and we’ll continue to test several more. So that is a work in progress, but I would say that during this year that we’re going to do a fair amount of work on the entire acreage position, try to set some fence posts.
Neal Dingmann: Okay. And then just lastly around where you had that Beeler Unit 24H, is this correct you had previously a Beeler Unit there where you tested for Buda and now you just tested one for Eagle Ford and you’re going to kind of continue to poke around test for Eagle Ford in that entire area around where you know that there is Buda, is that the idea?
Allan D. Keel: Yes, we did a pilot well down there and we also attempted a frac in the Buda, but we weren’t terribly encouraged by that. But what we do plan to do, our next capital investment down there will be back into the Eagle Ford. We have an offset operator that’s adjacent to our acreage that’s been doing very, very well both from a cost standpoint and from a recovery standpoint. We have drilled some wells down there two to three years ago. We feel like we have a lot better picture of what the recipe needs to look like, it needs to be and then on top of that the well needs to be drilled toe up. So, we’re working on surface agreements, things of that nature, to get prepared to go drill a well down there later this year.
Neal Dingmann: Perfect. Thanks for the info. Thanks, Allan.
Operator: We’ll now take our next question from Kyle Rhodes with RBC.
Kyle Rhodes: Hi, guys.
Allan D. Keel: Hi, Kyle.
Kyle Rhodes: Can you share the completion costs for your bid asked [ph] three-well pad and how much that can drop on your next round of scheduled completions here?
A. Carl Isaac: It’s Carl Isaac. On our last three-well pad, we recognized all the efficiencies since you would expect from sequential operations. Relative to the total costs, I guess what I would tell you is that over the course of last year, we gained efficiencies both from an operational standpoint, from a multi-well pad standpoint. Since November, as we’ve all kind of gone through the commodity price swing, what we’ve realized is about a 20% to 25% reduction in our projected completion costs alone. What were construction costs, including the drilling, casing and all those things that go into that are about 20% down today from where they were, say, six months ago. And we expect to stay in the market through the year not only on the capital side but as well as the expense side. We’re already seeing 12% to 15% on the expense side both onshore and offshore as well as the 20% that I mentioned on the capital side from a wellbore construction standpoint. So I hope that answers your question.
Kyle Rhodes: Yes, thanks. That was helpful. And then I guess just circling over to the M&A front, can you guys provide some insight on the volume and flavor of deals you guys are looking at? Is there a PDP component, is it new areas or extensions to legacy plays? And just as a follow-on to that, what price deck are you guys using in your valuations and what deck are the sellers using? I’m just trying to get a sense of where that bid asked spread is today on those deals?
Allan D. Keel: If you find out, let us know. Just in general, I would say the possibilities are fairly open. We don’t believe there are many asset deals to be had yet. Those that are out there are being bid quite competitively by the private equity-backed firms, but I don’t think they’re using the price decks that are close to current strip right now from what I’ve heard. Too early for the corporate opportunities to be coming along, so we would like to stay within our area of expertise. But to the extent we can find another area that has similar characteristics that what we are familiar with, we would pursue that as well.
Kyle Rhodes: Okay, that’s helpful. And then I was just hoping you guys can provide some commentary around the negative reserve revision at Eugene Island, and then just how should we be thinking about the decline profile for those wells in 2015 and 2016?
Jay S. Mengle: Yes, this is Steve Mengle. So in Eugene Island last year at midyear, we installed compression and so during that process we had the field shut in for three weeks or so. And so during that time, we took as much pressure work in the field as we could and then that pressure work was then – because this was a big large depletion drive reservoir that pressure work fed into our gas in plays calculations. And we saw about – from the work we did, we saw about a 7% decrease in the gas in plays, which – and we’ve produced about half the reserves out there today. And so that gets compounded when you take the 7% reduction in gas inflation you produced half, it actually ends up kind of a 15% or 16% reduction in recoverable reserves. And so that’s kind of what happened to us. I hope we’re done. I mean it’s a big field. We’ve got a lot of good data but you never know. But I would think that we would be – hopefully we’re getting to narrowing in on the final answer every time we get this kind of information.
Kyle Rhodes: Got it. And just on the decline profile at least for 2015 on that?
Jay S. Mengle: For the field specifically?
Kyle Rhodes: Yes.
Jay S. Mengle: It’s kind of had a natural decline now for a couple of years that we’ve kind of followed, and it’s in the 6% to 10% overall on a field-wide basis decline is kind of what we see there.
Kyle Rhodes: Okay, great. That’s helpful, guys. I appreciate it.
Allan D. Keel: Thanks, Kyle.
Operator: We’ll take our next question from Chad Mabry with MLV & Company.
Chad Mabry: Thanks. I had a question on production guidance, I guess, the other side of Kyle’s question on the onshore volumes. Do you expect to see a sequential uptick in Q1 and going forward in 2015 with some of the, I guess, delayed completions that it’s still into this year, just curious how you’re looking at your onshore growth this year?
E. Joseph Grady: Chad, this is Joe. We gave 95 to 105, which obviously does not recognize or contemplate an uptick in first quarter. But as we bring those pads on in the second quarter, we certainly should see an uptick. For the year, it’s going to be kind of lumpy because of the lack of drilling at least as we have cash right now, and it’d be in sort of frontend weighted. But as Allan mentioned, we’re well positioned to do more should we see results in these plays that get us excited. And that’s one of the things I was alluding to earlier about not giving annual guidance, because there’s some very meaningful things that may or may not come to pass, but on our base budget we are down significantly versus prior year. So it’s hard to say but I would think we’ll have an uptick in the second quarter.
Chad Mabry: Okay, that’s helpful and a good segue into my follow up is looking at the 2015 plans that’s in place, obviously very disciplined, but where would you see an opportunity to accelerate right now if we do get an uptick in prices?
Allan D. Keel: We would clearly have opportunities in Chalktown, other parts of Madison and Grimes counties for sure. We’d also envision the possibility of expanding our program in the Elm Hill project as well as the Eagle Ford down in South Texas.
Chad Mabry: Okay, great. And last one from me, just curious on the borrowing base. Any initial thoughts on where that might go on the spring redetermination?
Allan D. Keel: It’s hard to tell, Chad. We’ve not started that process, because ours was a little later than most being made first. We either just sent our reserve report to our lead bank or we’re going to in the next day or two, and we’ll get some indication. But as far as the general consensus around the industry is kind of maybe in the 20% to 25% range depending on what prices are at the time you do it.
Chad Mabry: That’s helpful. Thank you.
Operator: We’ll take our next question from Michael Glick with Johnson Rice.
Michael Glick: Good morning, guys. Just a question on Exaro. If I look at the reserve reports year-over-year, it looks like there is pretty significant growth in terms of reserves and PV-10 value associated with that investment. Just curious kind of what the game plan is there because it would seem like you’re getting among other things very little credit in the market for that investment?
Allan D. Keel: Yes, let me address the growth that you saw this year first off and keep in mind is that has always been an investment. We’re not able to consolidate results, stuff like that, and it is minor with respect to the rest of the company. Having said that, the big growth that we saw was not – the production performance we’re seeing out there is meeting expectation. It probably creeps up a little bit every year in terms of – because there’s hundreds of wells here. But the big difference between last year and this year were our third-party auditor gave us some vertical PUDs that we had not booked previously and we always knew they were there and expected them there. So I think for whatever reason Exaro booked them this year, they weren’t booked last year, so not a lot has changed. It looks like it did, but it didn’t really.
Michael Glick: Okay. And then just maybe the general game plan for that investment?
Allan D. Keel: Right now we’re drilling a second horizontal well. The first horizontal well didn’t quite meet expectations and that the overall lateral length fell short. We had some drilling issues and that type of thing. But the production performance on that well it actually started out a lot lower in terms of IP than we had expected, but over the course of the last year it’s slowly actually – it’s on an incline not a decline. And so in retrospect, we think we proved the concept that there’s a lot of potential reserves. The yields are doing what we thought. The yields are higher than the vertical wells, which is part of the economic benefit of the horizontals. And the second well we’re drilling and drilling is going a lot better than on the first well, and so we’re pretty excited about it. And really in terms of overall meaningful potential, the horizontal play has that. The vertical play is kind of a slow growth but the horizontal could be pretty meaningful. So we’re watching that very carefully. We’re on the horizontal section on that well right now.
E. Joseph Grady: One thing I’d add to that, Michael, is that Exaro itself is self-funding, so there won’t be any meaning for us to make any capital investments during the year to support their capital program.
Michael Glick: Got you. And then just going back to your operated activity, maybe if you could just give us a little bit more color on kind of what the trigger points are for accelerating activity this year? What do you want to see on the price side or cost side before you start to get more aggressive?
Allan D. Keel: Well, in our existing plays I think the answer is price and in our new play we’ll be more performance related on the wells that we drilled.
Michael Glick: Okay.
Allan D. Keel: As we mentioned before, because of the decline on these wells, going into development drilling just doesn’t make sense in today’s price. So price would be the key on that front. From trying to quantify that, maybe something in the $70 range.
Michael Glick: Got it. Thank you very much.
Operator: We’ll take a question from Patrick Rigamer with Global Hunter Securities.
Patrick Rigamer: Good morning, guys. A question on the Chalktown pads that you’re drilling. You said that you would likely release results about 30 days after the second pad came on production. Just curious how much production history you’ll want to see before having an idea if that is the correct spacing or what the spacing plan going forward would be?
Allan D. Keel: I’d like to see 90 to 120 days worth of solid unrestricted production before – with that much you can start to draw your decline curves and have a better understanding of whether you’re making gains or not in terms of the overall EURs. Because there’s really three things that are important here. One is the cost reduction by going to pad drilling, the other is we do believe we’ll get incremental reserves by going to 500 foot versus 1,000 foot. And then there’s an acceleration, an early time production benefit that we gain and when you combine all three of them, theoretically the 500-foot spacing should work. And so we kind of need to see all three of those things before we can really assess what really happened to us here.
Patrick Rigamer: Okay. And then both pads are downspaced testing the 550 foot?
Allan D. Keel: Yes.
Patrick Rigamer: Okay. And then following up on I guess some of the earlier M&A questions, curious if you could update us on kind of the share repurchases and how you think of that as you guys look to be free cash flow positive in the back half of the year?
E. Joseph Grady: It’s hard to go out and buy shares in a price environment that has no clarity to it, Patrick. Once we get some clarity on where we think the price environment might be for the remainder of the year and beyond and see where we are on our balance sheet and what impact the prices will have on the borrowing base and so forth and so on and what our CapEx might be related to success we hope to have in our exploratory plays, we’ll just have to take all of those factors into consideration on deciding whether to continue on our repurchase plan or not.
Patrick Rigamer: Okay. That’s it from me. Thank you very much.
Allan D. Keel: Thanks.
Operator: We’ll take a question from Glenn Williams with National Securities.
Glenn Williams Jr.: Good morning, everyone. Just a couple of questions, one of which you kind of touched on a little bit, but in relation to the opportunities that you had spoken of, would you be more inclined to target existing production or would you be open to undeveloped acreage as well?
Allan D. Keel: It would be both.
Glenn Williams Jr.: Okay. And then finally, also – I noticed that there was a bit of an increase in natural gas as a percentage of the production mix. Was that due to the multi-well pad delays Chalktown mentioned earlier? And then also, I guess, should we be expecting the larger percentage of oil production in 2015?
Allan D. Keel: It certainly had an impact on fourth quarter because we weren’t bringing any new production on line and historically or for the last year, oil is what we’ve been trying to target to improve our balance profile. And so the offshore gas production remains a higher percentage than what would have been if we hadn’t changed to pad drilling. Going forward, we’re still drilling oil projects but as we’ve discussed, it’s on a smaller CapEx budget. So I suspect we won’t make meaningful progress in balancing that profile in 2015.
Glenn Williams Jr.: Okay. Thank you. That’s helpful.
Operator: We have no further questions in queue.
Allan D. Keel: All right. Thanks, everybody. We look forward to calling next quarter.
Operator: This concludes today’s conference. Thank you for your participation.